Operator: Good morning. My name is my Tiffany and I will be your conference operator today. At this time, I would like to welcome everyone to Delek US Holdings' Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I would now like to introduce Mr. Keith Johnson, Vice President of Investor Relations for Delek US Holdings.
Keith Johnson - Vice President, Investor Relations: Thank you, Tiffany. Good morning and thank you everyone for joining us on today’s conference call and webcast to discuss Delek US Holdings’ third quarter 2012 results. Joining me on today’s call will be Uzi Yemin, our President and CEO; Mark Cox, our CFO, and other members of our management team. As a reminder, this conference call may contain forward-looking statements as that term is defined under the federal securities laws. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in the filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events, or otherwise. Today’s call is being recorded and will be available for replay beginning today and ending February 7, 2013 by dialing 855-859-2056 with a confirmation ID number 35354399. An online replay may also be accessed for the next 90 days at the company’s website delekus.com. As you may know, Delek Logistics Partners LP completed its initial public offering on November 7, 2012. Delek Logistics is trading on the New York Stock Exchange under the symbol DKL. During this period following the initial public offering, we will not be able to answer questions regarding Delek Logistics on today's call. Last night, we distributed press release that provided the summary of our third quarter 2012 results. This press release is available on our corporate website and through various news outlets. On today's call, Mark will begin by walking through our third quarter financial performance and Uzi will offer a few closing strategic comments. With that, I'll turn the call over to Mark.
Mark Cox - Chief Financial Officer: Thank you, Keith and thanks everyone for joining us today. As always, we appreciate your time. For the third quarter of 2012, Delek U.S. reported record net income of $100.3 million or $1.67 per diluted share. This compares to net income of $85.3 million or $1.46 per diluted share in the third quarter last year. The improvement on our profitability was largely driven by strong performance on our El Dorado entitled refineries as well as solid results in our marketing segment. During the third quarter, we were able to return value to our shareholders and improve our balance sheet. First, we announced our fourth special dividend in the last 12 months. Second, Delek Logistics completed the IPO of Logistics assets pricing at $21 per unit, which was at the high end of the price range. Third, using our strong cash flow, we reduced our net debt of $55 million at the end of the third quarter of this year, which is down from $205 million at the end of last year's third quarter and from $102 million at June 30, 2012. As part of this production, we repaid the remaining $38.5 million of debt that was out to an affiliate of Delek Group from cash on hand, and this is expected to produce interest cost by approximately $1 million per quarter moving forward. Finally, with improved liquidity and stronger financial position, we are pleased to announce that our board increased our regular quarterly dividend to $0.10 per share and that's up from $3.75 per share in the past. This is obviously a substantial increase in our dividend and demonstrates the confidence we have in the cash generating potential of our business as we move into the future. Looking to the income statement our gross margin improved to $301.8 million from $281.7 million primarily driven by strong performance of our Refining statement. Total operating expenses decreased by $2 million to $92.8 million in the third quarter when comparing to the prior year period. This decrease was due to a decline in variable cost and payroll expenses at the El Dorado refinery. Depreciation and amortization expense increased to $20.6 million in the third quarter of this year and that compares to $19.4 million last year. This increase was related to depreciation associated with Paline and Nettleton Pipeline assets acquired in the fourth quarter of 2011 and first quarter of this year respectively. General and administrative expenses increased to $23 million in the third quarter of this year and that compares to $18.8 million last year. This increase was due to higher salaries and employee benefits associated with increasing staff to accommodate the company’s growth and a reclassification of $1.8 million from operating expenses to general and administrative expenses at the El Dorado refinery. Interest expense was $11.2 million in the third quarter of this year and that compared to $16.4 million in the third quarter of last year. This decrease in interest expense was primarily attributable to the reduction in overall debt levels and reduced expenses associated with our interest swaps that we have in place. Our effective tax rate was 35% in the third quarter of this year and that compares to 34.7% for the third quarter last year. This increase in our effective tax rate is primarily due to the gain on our investment in Lion Oil in the third quarter of last year which was not recognized for tax purposes. Turning now to capital spending our capital spending for the nine months ended September 30, 2012 was $80.2 million, of which approximately $49.7 million was spent in refining, $17.6 million was spent in our retail segment and $600,000 in our marketing segment and $12.3 million at the corporate level. Our 2012 capital expenditures are forecasted to be approximately $133.1 million. Let’s move into a more detailed discussion of our segments result. First I’ll start with Refining. Our operations team did a great job during the quarter. Refining represented nearly 91% of the total contribution margins generated in the period and benefited from a significant improvement in financial performance by our El Dorado refinery and higher utilization rates at Tyler. El Dorado’s contribution margin increased to $94 million from $64.4 million in the third quarter of last year. On a combined basis our refining system had total throughput of approximately 130,000 barrels per day. Refining segment contribution margin increased by 15.2% to $189.4 million during the third quarter of this year compared to the year ago period. At Tyler we processed approximately 60,100 barrels per day of crude which is an improvement from 57,625 barrels per day in the third quarter last year. For the quarter total throughputs at Tyler averaged 60,590 barrels per day and that compares to 59,800 barrels per day in the third quarter last year. Total sales volumes averaged 62,470 barrels per day for the quarter including approximately 4,100 barrels per day of intermediate products sold to the El Dorado refinery. As all of you know our El Dorado refinery was impacted by the supply disruption from Exxon’s north line which was shutdown in late April of this year. Despite the loss of this supply, we had strong performance and we are able to process approximately 62,600 barrels per day of crude oil. This was accomplished by sourcing more local crude averaging 11,550 barrels per day of rail supply crude oil and shipping intermediates from Tyler. As we’ve discussed in the past our increase in crude supply flexibility provides us to access to a much wider source of crudes such as Canadian, Mid-Continent, West Texas and Gulf Coast supplies crudes. These supplies that can build a benefit of performance to El Dorado in the third quarter of 2012 as our crude supply was weighted towards WTI link sources and only contained approximately 14% Gulf Coast source crude. Margins also benefited from a product slate that included approximately 88% live products and that compares to 74% in the third quarter last year. Total throughputs were 69,000 unit barrels per day at El Dorado compared to approximately 86,070 barrels per day in the third quarter last year. Total sales volume averaged to 84,170 barrels per day including approximately 14,680 barrels per day of finished product by resale activity. This compares to third quarter last year sales volume of 82,320 barrels per day. Currently the Exxon north pipeline remains down. We continue to move forward our rail initiatives and stance to improve the pipeline access to El Dorado. These steps will give us the ability to increase throughputs at El Dorado during 2013. The key drivers of our third quarter performance have remained in place through the first quarter – excuse me the first month of the fourth quarter as well. We continued to utilize our crude sourcing flexibility and total throughput was in line with third quarter 2012 levels throughout the month of October. Tyler ran slightly more than 60,000 barrels per day of crude in October. And we increased our rail supply crude oil to approximately 15,500 barrels a day to El Dorado again in October. Before discussing our quick-hit capital projects, I want to bring up-to-date on our hedging activity. We have entered into our hedging position during the last few months to set our gasoline margin on a portion of our winter production. As you know margins during this period are historically lower. In total we have locked margin on 1.3 million barrels of gasoline from November of this year to February of 2013, which equates to approximately 17% of our historical gasoline production during that time. For the fourth quarter 2012, we contracted 850,000 barrels at an average margin of $17.40 per barrel above WTI. During the first quarter 2013, we contracted 450,000 barrels at an average margin of $17.53 per barrel above WTI once again. I would like to update everyone on our quick-hit capital projects. Last quarter we discussed two new projects, our engineers identified at our El Dorado refinery. The first was the project to increase ULSD production from 30,000 barrels per day to 34,000 barrels per day. This project is to be completed in two phases with an expected total cost of approximately $3 million. The first phase, which is expected to be completed during the first quarter of 2013 should increase production to 33,000 barrels per day with an expected margin – contribution margin of $6 million per year based upon current market conditions. The second phase is to be completed in 2014, and we will add another 1000 barrels per day of ULSD with an expected additional contribution margin of $2 million per year based again on current market conditions. Our second project at El Dorado involves the replacement of the (indiscernible) compressor. This project is expected to cost $3.5 million, and will allow us to further optimize the operation of our SCC unit and increase gasoline production. Current estimates indicate approximately $4 million per year of margin improvement once completed in the second quarter of 2013. These two projects combined should increase El Dorado’s contribution margin by $12 million with an expected capital cost of $6.5 million, again two very strong projects. The LSR project allows us to recover more propane and butane at El Dorado began operating during the third quarter. We continued to improve the project design and increased rates, which puts us on target to meet our expected annual additional contribution margin of approximately $15 million to $18 million based upon today’s economics. The VTB project at Tyler, which allows us to process asphalt transferred from El Dorado on a seasonal basis was mechanically completed in July. For most of the third quarter economics favored selling asphalt. We did however begin shipping asphalt to Tyler in September and the increased shipments of the asphalt season winds down. Now turning to retail, retail’s contribution margin declined $11 million in the third quarter of this year that compares to $15.6 million in third quarter of last year. Lower operating expenses and improvement in same store merchandising sales were more than offset by decline in retail fuel margin to $0.139 per gallon and that was $18.8 per gallon in the year ago. And as also gasoline prices increased during the third quarter of 2012, which benefited our Refining segment as you all know retail fuel margins were negatively impacted. Merchandise margins in the third quarter of this year was 28.6%. Same store merchandise sales increased 1.5% in the third quarter this year when compared to year ago. While this was – it was a challenging environment during the third quarter this year, MAPCO was able to achieve its 13th consecutive quarter of same store merchandise sales growth is very substantial record. Same stole sales of private label products in areas other than cigarettes increased 36% in the third quarter 2012 versus the prior year period. Private label sales as a percent of total merchandise sales again excluding cigarettes was impressive 6.7%. As of September 30, 2012, the retail segment operated 372 stores and that compares with 384 stores in the same period last year. Of the 372 stores in operation, 182 stores were approximately half of the store base is either reemit location or large format prototype. During the third quarter over 7.4 million gallons or 6% of the fuel sold in the retail segment was supplied by our El Dorado refinery. Lastly, let me turn to marketing, marketing segment contribution margin improved in $9.7 million in the third quarter of this year. That was up from $6.8 million in the same period last year. This increase was driven by 3.6% increase in total sales volume, which came in at approximately 16,700 barrels per day. Stronger demand for products mainly gasoline in West Texas drove the overall increase. With that, I will turn the call over to Uzi for a few closing comments.
Uzi Yemin - President and Chief Executive Officer: Thanks Mark. Once again, our team performed at the highest level during this quarter. The combination of solid performance from our operations in continued elevated Gulf Coast refining product margins resulted in record net income in another core of strong cash flow generation. We are able to grow our balance sheet while returning value to shareholders by declaring our fourth special dividend in the last 12 months. In addition as Mark mentioned the IPO of Delek Logistics was completed in early November, which began unlocking the value of our Logistics assets. Our Tyler refinery performed well and it processed approximately 60,000 barrels per day of crude during the third quarter, which is especially 100% utilization. At El Dorado, our efforts to improve our feedstock flexibility allows strong performance, despite continued issues with crude deliveries from Exxon pipeline since late April. As Mark noted, we continue to increase the amount of rail supply crude to El Dorado processing approximately 15,500 barrels per day in October as compared to an average of approximately 2,000 barrels per day in May and June. We currently have access to 18,000 barrels per day to a third-party crude oil facility, Natural Refinery. By early 2013, we expect to complete construction of new rail off-loading facility in the El Dorado refinery that will enable us to offload an additional 30,000 barrels per day of light crude oil or approximately 10,000 barrels per day of heavy crude oil or any combination of the two. Our primary strategic initiative continues to be sourcing cost advantages crudes to our refineries. We expect that by early 2013 will improve access to midland source crude, which is currently trading at more than $6 barrel below cushion. This will allow increased amount of WTI linked crude at both Tyler and El Dorado as we improved pipeline access to our refineries. Finally, we are extremely optimistic about our future and remain committed to create additional value for our shareholders. With strong performance over the last few months and a recent completion of the IPO of Delek Logistics, we have improved our financial position. This position combined with solid cash flow generation from our operation supported the decision of our Board of Directors to increase our regular dividend by more than 160% to $0.10 per share. Going forward, based on results in liquidities, we are committed to evaluate the payment of special dividend on a quarter-to-quarter basis. With that, Tiffany, would you please open the call for questions?
Operator: (Operator Instructions) Your first question comes from the line of Evan Calio or Morgan Stanley.
Evan Calio – Morgan Stanley: Thank you. Good morning guys and nice quarter.
Uzi Yemin: Thank you.
Evan Calio – Morgan Stanley: A broader question on cash and cash usage, maybe first can you walk me through the Delek balance sheet adjustments post the detailed IPO and it was an adjustment to cash debt and working capital, and I think in that $166 million in cash less 63 debt and less some inventory level. Can you walk me through those numbers please?
Uzi Yemin: Mark, do you want to take that one?
Mark Cox: Yeah. I think if you look at the cash levels relative to the IPO, we ended the quarter and I’ll talk about on really kind of a net debt basis and as Uzi reminds me that when you talk about on a net cash basis.
Evan Calio – Morgan Stanley: Yeah.
Mark Cox: Net debt at the end of the quarter was $55 million, when you bring in the proceeds from the offering of about $175 million that will put us a pro forma net cash of about a $120 million.
Evan Calio – Morgan Stanley: Got it, got it. And then I guess maybe for Uzi, I mean, you are now in a significant net cash position. You just formed DKL that clearing the perspectives provides further liquidity potential the identified dropdowns both existing and organic. How do you think about the use of free cash flow in 2013? I mean, is there a target percentage on free cash flow you look to distribute, so it looks to me as you could support kind of much higher distributions?
Uzi Yemin: Well, obviously Evan as you know, we want to double the size of our company every few years. Our cash position and we started the fourth quarter with great margins as well. So, what Mark mentioned to you is the balance sheet of – pro forma balance sheet of September 30. Obviously, we continued to generate cash nowadays. We are in a great position in order to achieve the growth that we want to achieve. The first one is obviously we want to double the size of the company again, that is for us number one thing. Now, historically we never paid big numbers for refineries, but we still think that there are refineries in the country that don’t make as much money as they can even in today’s market. Second, we – 2014 turnaround for both refineries coming and that brings opportunity to not only to conduct the turnaround, but to improve the situation in both refineries in terms of profitability. And we are looking at CapEx both by next year and the following year, since we think that there are tremendous amount of project that we can make bring value to our shareholders. Obviously distribution of cash back to shareholders is a great idea for us or for any other company. We just increased the regular dividend to $0.10, a quarter of $0.40. If you look and you do pro forma of our both regular and special for the last year, we are talking about $0.80 (oil). So we feel that if this continues, we will obviously continue to evaluate the situation with dividend and there is no reason why not to continue with that policy subject to great margins that we see them today.
Evan Calio – Morgan Stanley: Do you have any guidance for 2013 CapEx and upper segment directionally higher or lower than the 120 to 130 something 33 this year. We are obviously looking at these numbers, we are going to finalize them in the next 3 to 4 weeks. We think that the payout that we bring from different projects is great, Mark discussed the two projects, we are investing $6.5 million, return of $12 million. We’ve completed these two projects 3-4 months ago, which will minus the amount of he value some of which you’ll see here, some of which you will see in the future. So, not sure with the exact number, but we are evaluating many projects at this point.
Evan Calio – Morgan Stanley: I believe maybe lastly if I may just one more with the success of DKL, and a growth strategy that encompasses growth, can you share your thoughts on the suitability of potential to form a separate variable pay MLP for your funding assets, I mean that could give you better currency in that regard and I guess moving more directly to Kinder Morgan type of energy, any thoughts on that structure?
Uzi Yemin: Obviously other people did it and it was very successful for them. At this point, we are focusing on the creating our main – bringing value to the vehicle we’re today announcing in the near future forming a vehicle similar to the one that you mentioned neither on the refill side nor on the refining side.
Evan Calio – Morgan Stanley: Great, I appreciate your comments.
Uzi Yemin: Thanks you so much. Thanks for the interest.
Operator: Your next question comes from the line of Jeff Dietert of Simmons.
Jeff Dietert - Simmons: Good morning Jeff.
Mark Cox: Good morning Jeff.
Jeff Dietert - Simmons: Nice quarter, I was hoping for a little bit of clarification of the rail facilities. You talked about the 11.6,000 barrels a day coming in October, and the new facility in the first quarter. Is the new facility 30,000 barrels a day in total, and on top of that you have got access to a third party facility, and of that 30,000 barrel a day new, can you swing between Canadian in heavy and sweet on the entire volume?
Uzi Yemin: I will let Fred take this one, because to go with people all these dreams all day long is strange.
Mark Cox: Hey Jeff, good morning.
Jeff Dietert - Simmons: Good morning.
Mark Cox: The answer to your first question is yes, the two are additive so the third party facility remains there at 18,000 a day, and our new facility on light crude would be around 32,000 barrels a day so combination of 50,000 total on light crude. Now, on heavy or design basis is 10,000 barrels a day on our system. And that’s really a feature of having the steam in the cars, when they show up to be able to offload the crude. So, depending on what’s light or what’s mix of crudes will offload somewhere between 10,000 of all heavy or 32,000 of all sweet or all light for a combination of between?
Jeff Dietert - Simmons: Got you. And what do you lack on the completion of the new rail facility?
Mark Cox: Not much, we are going to finish here in the early in the first quarter is our expectation. So, it's just piping and some rack manifolds to help offload the crude. We have already got pumps, connecting piping and the rail itself is already in place.
Jeff Dietert - Simmons: Very good. Canadian heavy discounts are widening with some of the growth in production in Canada. Hopefully, those discounts will stay right for you what kind of transit time do you see from Canada to your facility on the Canadian volumes?
Mark Cox: Anywhere between 14 and 20 days depending on the congestion in the system. We are not currently receiving crude by unit train, so we are bringing it on a manifest basis. So, that adds a little bit to the congestion, but two to three week transit.
Jeff Dietert - Simmons: Thanks for your comments.
Mark Cox: Sure.
Operator: Your next question comes from the line of Paul Cheng of Barclays.
Paul Cheng – Barclays: Good morning guys.
Mark Cox: Hey, Paul.
Paul Cheng – Barclays: I just want to make sure I understand that number you said about you are saying that the existing rail capacity is 18, our third-party and your own rail facility to be start up in the first quarter is 30. So, that together is about 50,000 – close to 50,000 barrels a day and then you are saying that you are going to run 10,000 barrel per day of the heavy and then 32 is light or a combination between these two range so that means that running happy is actually reduce your capacity in the well?
Mark Cox: That’s correct, because you can handle a certain number of railcars on the track that we have. And the heavy cars have to be steamed, the Canadian heavy it's more like bitumen that doesn’t have the deal you want to add it, so we have to heat the crude.
Paul Cheng – Barclays: So, actually it's bitumen that you are buying?
Mark Cox: Correct. And so what you are doing is consuming more time on our track with the heavy crude railcars and that effectively reduces the capacity.
Paul Cheng – Barclays: I see.
Mark Cox: But I think about it this way, it’s the 18,000 barrels a day of third-party capacity plus some combination of 10 a day of all heavy up to 32 a day of all light.
Paul Cheng – Barclays: I see, okay. Very good. Thank you. And that with the supply situation is still having some issue, how should we look at the fourth quarter operations. So, you will assume that it will be wondering you may not need to what you did in the third quarter or it's going to be better?
Uzi Yemin: Well, obviously, Paul, first of all good morning. Obviously, we don’t give guidance, but the situation is improving all the time. We started with 2000 railcars and now we are telling you that in October we ran 16,000 or 15,500. So, fourth quarter usually in terms of demand is not as strong as third quarter, but at the same time, as you know both our refineries are experiencing relatively stable demand between the quarters. So, I would say that the third quarter, fourth quarter in terms of runs should be similar.
Paul Cheng – Barclays: Also that I am actually more referring to the radar with the supply pipeline problem that you guys buy. So, should we assume that the radar is going to be running pretty similar in the fourth quarter comparing to the third quarter?
Uzi Yemin: Are you talking about the quantity or the pricing?
Paul Cheng – Barclays: No, the volumes, that the throughputs. So, we assume how the radar operation that how much crude that you are going to run will be somewhat similar to the third quarter given that the pipeline is still down?
Mark Cox: Yeah. Paul, I think the answer there is yes. Obviously, if Exxon restarts here in November early enough to allow us to access additional crudes for December you might see an increase, but yeah I think similar operation is a good assumption.
Paul Cheng – Barclays: Okay. And stressing of the radar that the third quarter sales, I mean I am sure and I think that some of them is combined results that you also sell down in your inventory or that is all combined result?
Mark Cox: We did a little bit of both. There was some inventory reduction, but we were using volumes to get access to more products either on the enterprise or Colonial pipeline system.
Paul Cheng – Barclays: But at this point that has your inventory level I presume is already below your normal level. So, should we assume that there is any additional inventory that you can sell down or that this is pretty much yet?
Uzi Yemin: First of all, I wouldn’t assume Paul that our inventory level is below what you call normal level. It's about the same. Obviously, the asphalt inventory level is low, because this is what you want to have. If you go to the winter and that part of the strategy for first quarter increasing the heavy staff. So, we will be ready for another stronger asphalt season comes spring next year. I wouldn’t assume that inventory level is lower than the normal on lower than what it was in the third quarter. We take advantage of things that we never had opportunity in the past to do we are blending different materials from Tyler into a finish material in El Dorado that allows us to enjoy great margin bound refineries out there, materials that in the past we need to sell as intermediaries to third-party. So, we feel confident that in terms of sales we are in good shape similar to the third quarter.
Paul Cheng – Barclays: Two other questions finally. One is quick one, Mark in the press release, you gave that in El Dorado what is the unique crack excluding the buy and sell at 19.41, do you have a similar number for the second quarter?
Mark Cox: I am sure we can get you that number and we don’t have at the top of our head. I mean, I would provide you that in the next day or two.
Paul Cheng – Barclays: Okay. And as for El Dorado, Fred, do you have a number you can share in terms of what is the transportation cost using the railroad?
Frederec Green: It varies Paul. Some of the crude delivered by rail, we are shipping ourselves. So, we have the full cost of the railcar and the rail itself. And some we are purchasing delivered to El Dorado we pay about a $1 a barrel to offload in El Dorado. That’s the third-party throughput expense.
Paul Cheng – Barclays: Can you tell me that you’re going to say (indiscernible) what is the incremental cost?
Frederec Green: It depends on where it’s coming from Paul. We’ve got some crudes coming in from Oklahoma, some from the Bakken area and some from Southern Canada.
Paul Cheng – Barclays: Let’s say from Bakken that how much is cost you?
Mark Cox: We’ll provide you with that number going forward again. Paul, we are talking about the startup here, and we have – we increased the amount of railcars that we used our own cars from 50 to 70 in October. So, we are all – we are moving towards more and more our own cars.
Paul Cheng – Barclays: Okay.
Mark Cox: And I still – we are playing here with different so many vendors and I wouldn’t like to put a number on the table until we – this business is more mature.
Paul Cheng – Barclays: Okay. Final one, Mark, after the launch of the DKL, are you going to change your reporting format on detail to put all those assets that currently under the BKL into the marketing or that is not going to see any change?
Mark Cox: Uzi, why don’t you take this one?
Uzi Yemin: Well, we are looking to your question right now. We haven’t made the decision yet. We are looking into either to put it all in other or to extend the marketing segment. So, as I mentioned there is no specific answer and we have seen year-over-year exactly how we report.
Paul Cheng – Barclays: I just make a request that if you do what we send them yet, hopefully you can at that time give us a pro forma by the new segment format by quarter back to 2001 for two year history. Thank you.
Uzi Yemin: Paul, we’ll make that note obviously that will come with the price, we’ll have request from you. But….
Paul Cheng – Barclays: Anytime.
Mark Cox: Hi, Paul. This is Mark answering your question, the Tyler refining margin in the third quarter was 21.98 an excluding the marketing servicing fees 22.47.
Paul Cheng – Barclays: No, I’m talking about the second quarter do you have a quite pointing number for second quarter?
Mark Cox: No, I’m sorry I don’t have the second quarter with me. I’m saying for the quarter, we’ll get you that.
Paul Cheng – Barclays: Thank you.
Operator: Your next question comes from the line of Blake Fernandez of Howard Weil.
Blake Fernandez – Howard Weil: Guys, good morning. Good quarter. I had a question for you on the dividend I’m just trying to understand the strategy is the idea with the increase in the regular dividend ultimately to kind of cannibalize the specials work your way up to that level or is it to really kind of have a regular and then a special dividend which is kind of done on a repeatable type of basis?
Uzi Yemin: Blake as you know, we live in an environment that the margins change every day. We don’t want to touch the regular dividend every week and in our history once we increase regular dividend, we never took it down. So, we want to continue with this tradition that the regular dividend continued without touching it and going down and cancelling it if margins are not going to be as great. The idea is to have the base of regular dividend and special dividend based on the situation in the marketplace. Obviously in today’s environment we are seeing the reason why we won’t continue the special dividend. So, this is an environment that will producing tremendous amount of cash. Mark mentioned the pro forma as manifest yesterday that is snapshot. We had our balance sheet $0.5 billion in excess of $0.5 billion. So, obviously the dividend – the regular dividend is the base line, special dividend no reason not to continue as long as we have that situation and we will evaluate both of them on a six months basis.
Blake Fernandez – Howard Weil: Okay got it perfect. Uzi well, have you – I guess I’ll ask the M&A question. I know you mentioned that the desire to double the company over a few years and maybe an increase appetite on M&A on the refining front. Historically you’ve demonstrated good ability to kind of buy assets on the cheap and then increase your access to advantage crude and really improve the economics. It seems like an industry we may have an emerging trend where crude is beginning to work its way to the East Coast and West Coast and maybe change the economics on those areas I know historically that’s not been an area of interest on the Coast where you are, but I’m just curious if that’s changed at all?
Uzi Yemin: No, we don’t think that East Coast or West Coast is an area – or these are areas that we want to be in. Obviously it serves other companies very well. We want to focus on areas that we think we understand.
Blake Fernandez – Howard Weil: And just to clarify that’s basically inland Mid-Con type of area that, right?
Uzi Yemin: Well, Mid-Con this is hard to get today but inland is.
Blake Fernandez – Howard Weil: Okay. The last one I had Mark you ran through the quick-hit projects and I’m sorry there was maybe I didn’t draw that down quick enough, I’m just trying to see is there a summary you can give us of the spending versus EBITDA associated with those projects basically just trying to come to a rate of return on all of those?
Mark Cox: Yeah, I think what we’ve said a few minutes ago was the two projects we’ve talked about we expect them to have a contribution margin of about $12 million and the costs of about $6.5 million both of those are at El Dorado.
Blake Fernandez – Howard Weil: Okay, got it. Alright. Thanks guys.
Mark Cox: Thank you.
Operator: Your next question comes from the line of Paul Sankey of Deutsche Bank.
Paul Sankey – Deutsche Bank: Hi everyone. Good morning.
Uzi Yemin: Good morning.
Paul Sankey – Deutsche Bank: I think you are – sorry your target to double the company every few years is aggressive I think you has differentiated as well as the – that you really kind of referenced buying refineries. Can you expand a bit more on because it’s going to be difficult and it’s proved to be difficult to find the right price with the right refinery, can you explain a bit more and how else you could achieve that I mean I believe when you’re talking about doubling it always used to be an EPS basis is there – is that still the way to look at it? Thanks.
Uzi Yemin: Well, obviously I was talking about doubling is obviously size as well as we want to return money to shareholders and create value so both top line and bottom line. Paul, when we booked El Dorado only a year and half ago, El Dorado wasn't running even besides the local even one drop of the high crudes. In 18 months, we changed completely the crudes rate and that situation moved us from a situation of refining that's barely makes money to a refinery that made contribution margin $93 million in one core. If you take the crudes rate that the refining was running 18 months ago or 19 months ago, you would see that still this refinery in today’s environment will make much money. There are in our mind opportunities in the marketplace of refineries or assets, it doesn’t need to be only refineries that still are the owners are not getting their value or all the value they can get out of these assets. So, the trick is to get them right, because as we all know this is a volatile market and crack spreads today are $30 or $25 and to more they can be minus $5. And so we are going to be very patient, extremely patient in buying a refinery or assets, but we didn’t change our goals to double the size of the company every three to five years. Obviously, we did it three times in the past there is no reason in our mind not to target the fourth time in the next two years.
Paul Sankey – Deutsche Bank: What about retail, I mean I’m a bit worried about retail as a business just because of the kind of the efficiency trend in the U.S. how you think bought that?
Uzi Yemin: Well, you are obviously bringing great question. Retail in the United States or convenient stores, gas stations in the United States, the business models, that was yet to be based on figures is going away. Now, we are developing our new business model that when we see a great rate with our mega stores this stores performing very, very well. Our target is to continue build these stores. We are setting the past that there will be 10 to 15 stores and every year and we think that this target should continue for the next two, three years. We don’t have any plans at this point to do what other people did for them successfully (indiscernible). We believe in our ability to get retail to the right place and to bring value to our shareholder.
Paul Sankey – Deutsche Bank: Okay, great. And you see on the market you've benefited, for example, from the midland discount, could you just talk us through how you see the addition of pipelines over the coming months and any other dynamics that you see in the market, I guess you could throw in the impact of the Hurricane Sandy there, was your talking just -- how you are viewing the outlook over the next year or so for the refining macro environment, but specifically for you guys obviously.
Uzi Yemin: Obviously first I hate to admit that you were right and I was wrong.
Paul Sankey – Deutsche Bank: I appreciate that, Uzi
Uzi Yemin: But you always said that the spread between TI and Brent will be wider than what I thought and it's actually wider than what we both thought. So, the $20 Brent TI, I don’t believe that it should stay. We don’t think that it should stay. However, we always believed in Midland. And we invested tremendous amount of efforts to bring more Midland crudes and we are going to make it happen early 2013 with the addition of almost 50,000 of Midland crudes to our system. I do believe that Midland in that area has the ability to go even wider. Now, eventually 2015, 2016 and going forward, we don’t think that Midland should be $6 or $7 or $8 below our cushion, it's probably going to be $2 to $3, but we still think that Midland will be at discount to cushion. In terms of the Gulf Coast, LLS, I think that LLS the consensus and we agree with that consensus, LLS WTI should the differential should shrink. It will shrink within starting next year. However, with the amount of drilling and I think I have said that to you on many times with the amount of drilling in North America. I see that what we think that in the next 7 to 10 years, there is a good chance that North America is a system will be long crude oil versus being short in the last one, 40 to 50 years.
Paul Sankey – Deutsche Bank: Right. And then finally on the balance sheet, if we were to I guess you are in a great, you are in very luxurious position obviously, how do you view the inefficiency of carrying that much cash. I imagine that you are happy to let the balance roll forward, but obviously in this interest rate environment for a company of your size, it does become dilutive essentially?
Uzi Yemin: You are making great point here. We need to put this cash to work. And this is a great opportunity for our company. We have never been in that situation that so much cash is sitting on the balance sheet. And obviously this is the result of our operation. We never budgeted $185 million EBITDA in the quarter and here we are on the top of the $175 million of net proceeds from the IPO. So, that was we are putting our brave together and that's the challenge, the next challenge for your company how to grow it without paying too much for the next assets. Do you want to add something to that Mark?
Mark Cox: Yeah, I don't think I would add to that Paul as of course we don't remember that refining is an extremely cyclical business. So, of course we want to be sure that we are adequately capitalized for the next downturn. We know it will come. We don't know when it's coming, but we know it will come. So, while I agree with what you are saying seeing people in the past, get themselves in trouble in the refining business when they have too much and they feel like they need to do something worth it and they pay high prices. So, we need to have a good balance looking at what opportunities we have, but also looking to the future and in making sure that we stay well-capitalized and don't put ourselves in a situation that could become problematic later. We just want to be sure we are here for the long-term. We are going to be in a position when the next downturn does come. We will be able to buy assets from people. So, we'll be extremely well positioned for that. I think you want to add to that. Okay, go ahead Paul, I am sorry.
Paul Sankey – Deutsche Bank: No, that's great. That's more than enough for me. Thank you.
Operator: Your next question comes from the line of Roger Reed of Wells Fargo.
Roger Reed – Wells Fargo: Hi, good morning.
Mark Cox: Good morning Roger.
Roger Reed – Wells Fargo: I guess, just thinking about kind of operationally how things could change next year obviously the impact on Tyler from the midland crudes, but again as the north line comes back up between that midland and maybe a switch to if you are pointing to do this, the unit trends what should we think about in terms of a relative to whatever benchmarks we want to use a drop off in crude acquisition costs '13 versus '12 either on a maybe by mid or end year '13 compared to where we are right now?
Uzi Yemin: Roger, that's a wonderful, wonderful question. And that's basically the strategic question we asked ourselves everyday. We built our company not on different types of crudes, we built our company on flexibility. That's the most important thing in our life, flexibility. The projects that we are going to introduce to the market in the next couple of quarters will increase that flexibility. That flexibility is it's a nightmare, because we look at the type of crudes every month. And one of the former questions was okay, what you are going to do with the Canadian heavy. Canadian heavy today is $20 to $25 below WTI. So, that obviously brings tremendous amount of opportunity for us starting first early next year with Canadian heavy. So, we are not going to decide today not for December, not for January or any other month. Our ability is to bring crude from Canada from the Bakken from Mid Continent obviously, mid length what SME's continent WTI link, mid length and we don’t do want to lose and we are not going to lose the ability to move crudes from the globe assuming that the globe economics will change. We don't know 5 years ago, when we were running this company, the trend will go heavy. Now, all of a sudden everybody is talking about the shale play five years from now who knows when somebody will come with our company is build on the flexibility of bringing different types of crudes every month and every quarter based on economics at that time. Today it used to be $1 only year ago so economics are by checked by economic guys okay every month as a metric everyday to make sure that we are getting the cheapest crude we can into our refineries.
Uzi Yemin: Uzi I think there is one thing that we can give more color say that until four months ago we used the range between 30,000 and 40,000 barrels a day of Gulf Coast crude and that Gulf Coast crude in the last year was trading anywhere between $50 to $20 a barrel cushion. We continued that beginning or sometimes in the beginning of next year we expect that out of those 30,000 to 40,000 barrels a day 25,000 barrels a day will be replaced with Midland source crude. If you look at the base pricing midland is trading 6.5 under WTI while (indiscernible 0112) island and those groups that are trading around $16 above WTI so when you compare our results at least before the Exxon shutdown their pipeline we can basically make additional $20 to $22 a barrel on 25,000 barrels a day when you compare Q2 and the path for the next year and that’s an annual basis can be close to $200 million additional discounted crudes compared to where we are today. And it’s not the payment of (indiscernible 0147) difference between (indiscernible) island mass crudes that we usually bring to the El Dorado refinery and WTS crude or the WTI crude that we can start bringing to the El Dorado refinery beginning of next year.
Roger Reed – Wells Fargo: Okay thanks. That’s helpful and again in terms of some of the commentary earlier in the discussions about the yield improvement on the sweets or at least higher I’m sorry light product yield is that essentially intact with the switch to the Canadian in other words the change in live product yield is already occurred or you get more of that as you move away from using the Gulf Coast crudes and…
Uzi Yemin: That’s a great question. Before I turn to Frederec to make his comments because he is the one that is running it. I’ll just remind you and remind everybody that in El Dorado we have a crude unit that is 100,000 barrels that allows us to – even that we calls this refinery 80,000 barrels that’s a lot of flexibility between the different types of light and heavy cool but I’m sure Fred wants to give you more color.
Frederec Green: Although the change in the light product yield was well related to fact that the majority of the rail crude that we purchased was light sweet crude. So the more of gravity crude you run the higher your light products yield looks and if we went through an all light sweet slate if you ignored the local crudes then the yield structure would look a lot like Tyler just without the (indiscernible). But the yield will change depending on the value of the asphalt type crudes not necessarily Gulf Coast crudes that we run..;
Roger Reed – Wells Fargo: Okay. Thank you.
Frederec Green: Thank you, Roger.
Operator: There are no further questions at this time. Presenter, do we have any further remarks or closing comments?
Uzi Yemin - President and Chief Executive Officer: Well, I just want to make a couple of comments unusual comment. First off obviously I would like to congratulate everybody, but specifically my colleagues here for wonderful work that they did in the last quarter, that was a great quarter, record quarter. We completed the Delek Logistics. We had great numbers. And we ran great types of crudes. We feel that 2013 is coming and it's going to be a wonderful year and obviously our cash position allows us to be in a wonderful position in order to grow our company or take it to the next levels. With that being said, thank you for your attention and thanks for your support. Have a great day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.